Operator: Good day, and thank you for standing by. Welcome to the BAE Systems 2024 Preliminary Results Conference Call and Webcast. [Operator Instructions] Please note that today's conference is being recorded. I would now like to turn the conference over to your speaker, Mr. Charles Woodburn, Chief Executive Officer. Please go ahead.
Charles Woodburn: Hello, everyone, and thank you for joining us this morning. I'm incredibly proud of the results we're reporting today and of the contributions our people have made to achieve another year of strong financial and operational performance as we continue to support our customers around the world. There are 3 areas I'd like to focus on today. First, our 2024 financial performance, where we produced strong top line and earnings growth with better-than-expected cash flow and order intake. Second, the steps we've taken to continue shaping our portfolio to higher growth, technology-focused and strategically important domains such as space, drones, counter-drones and electronic warfare. And third, confidence in our outlook, which is driven by our record backlog, reflecting the sustainability of our value compounding business model. Taking a look at the broader backdrop, defense spending globally has continued to strengthen since this time last year, reflecting the elevated threat environment. Our programs and technologies across the group, including our electronic warfare and space capabilities, precision strike and tactical systems, AI, AUKUS and the Global Combat Air Program, or GCAP, are delivering for our customers today and helping shape the future of defense capabilities. At the same time, we are improving the efficiency and agility of our own operations to succeed in an environment in which many of our government customers are seeking greater efficiency and affordability. In the U.S., we remain closely aligned to the U.S. National Defense Strategy, which is largely focused on the Asia Pacific threat environment, and we look forward to working with the new administration. In the U.K., the ongoing strategic defense review is set to conclude in the near future. The government has already signaled its intent to increase defense spending, and we expect that our major U.K. programs, including submarines, Type 26 frigates, GCAP and others will continue to be well supported. Elsewhere in the world, there is upward pressure on NATO defense budgets with discussions about increasing the 2% target in the years ahead. We also expect Australia, Japan and countries in the Middle East to significantly increase their spending on defense in the coming years. So our growth opportunities are significant, and we remain focused on consistently executing our long-term strategy to deliver top line growth, margin expansion and solid cash generation. Our strong 2024 results continue the momentum we've built over successive years of solid financial and operational performance. Demand for our products remains strong, as reflected by our GBP 34 billion order intake, which propelled our total backlog to a new record of GBP 78 billion. This visibility supports our confidence in the growth outlook over the medium term. Our relentless focus on operational performance has enabled us to consistently convert our large order backlog into strong sales growth. We set a new record in 2024 of GBP 28.3 billion in sales, together with sustained margins and excellent cash flow, which was boosted by several advanced payments on new contracts towards the end of the year. In 2025, we expect a similar organic growth trajectory, which Brad will cover in more detail. It's worth restating that our current order backlog is largely driven by our incumbent positions on existing long-term programs. It's widely understood that even when hostilities in Ukraine end, the threat environment in Europe, the Asia Pacific and the Middle East will remain elevated as will the need to replenish inventories. In 2024, we maintained a strong balance sheet, enabling the same disciplined capital allocation approach that we've taken for the past several years, and we expect to continue in 2025. Our financial results and continued confidence in the outlook mean we're announcing a proposed final dividend of 20.6p per share, bringing the total dividend for the year to 33p, a 10% increase on last year and continuing our track record of over 20 years of consecutive dividend growth. Our order intake has significantly exceeded our sales over the past 3 years with 2024's order flow driving our backlog to the new GBP 78 billion record. Our sustained positions on our major long-term programs and expansion in space and drone capabilities, coupled with further progress on AUKUS and GCAP have all added to our medium-term outlook. As a reminder, our combined order backlog and pipeline of opportunities from our positions on those long-term programs provides exceptional visibility of our medium-term sales growth. Looking more closely at our backlog and the global nature of our business, you can see we are positioned for strong growth this year and in the years ahead. This chart shows that many of our short- and medium-term growth drivers are already in our backlog and we also benefit from incumbent positions on long-term programs, some of which are expected to endure for multiple decades. There is also ample scope for us to win new opportunities in these established lines of business. Our focus on agility, efficiency and innovation mean there should be more opportunities in the defense technology space, well suited for our innovation centers in the U.S., the U.K. and Australia. With that in mind, I want to highlight some of the investments we're making in technology. We regularly engage with our customers to understand and anticipate their evolving requirements so that the capabilities we're developing are relevant now and will be critical in the future. To fuel our innovations, we are continuing to increase our self-funded R&D, up 30% in 2024, focused on areas such as space, air and subsea autonomous systems, counter-drone and quantum devices. In addition, we have carefully deployed capital to fund accretive acquisitions to evolve our portfolio and position ourselves as a leader in the markets of the future. Chief among them was the Ball Aerospace acquisition, which significantly expanded our presence in space. We also made smaller acquisitions of Malloy, Callen-Lenz and Kirintec, strengthening our drone and counter-drone capabilities. Bringing products forward from concept to deployment at pace has never been so important. This is one of the key lessons of the Ukraine conflict and is critical to addressing the increasingly complex threat environment. That's why we're investing in solutions that save time and costs, while enabling greater agility for our business and our customers. This includes using digital transformation and advanced manufacturing techniques, as we evolve the way we design, develop, manufacture, test and upgrade our products and systems to meet this challenge. I'll wrap up by saying 2024 was another excellent year for the company. We made significant progress on 2 multinational strategic collaborations, AUKUS and GCAP. Early stage design work on SSN-AUKUS is underway in the U.K. And in Australia, we were selected alongside ASC to deliver the country's new fleet of nuclear-powered submarines. On GCAP, we reached agreement with our international partners in Japan and Italy to form a new joint venture. And we completed the Ball Aerospace acquisition 1 year ago to form our new Space & Mission Systems business. This progress was made while we continue to invest in the business through increased levels of CapEx and R&D to ensure we can execute our backlog with efficiency and develop our portfolio of cutting-edge technology. None of this will be possible without the amazing people who carry out the immense responsibilities of our mission to protect those who protect us. In 2024, we welcomed a large number of new employees to our team, including 5,200 people who joined us with the Ball Aerospace acquisition. Their collective knowledge, talent and skills are already benefiting the company, and we're delighted to have them as part of the BAE Systems family. On that note, I'll now hand it over to Tom for an update on SMS. Over to you, Tom.
Tom Arseneault: Thanks, Charles. I'm happy to spend a few minutes on our Space & Mission Systems business, or SMS, which is part of our Electronic Systems reporting segment. This is a very exciting business and our integration teams have done a great job achieving key milestones just as we planned through our first year. As we have come together, we have consistently seen that our cultures are very well aligned. We share a core belief in operating with efficiency, affordability and speed to deliver the very best capabilities to our customers. This has been instrumental in our first year, and it will also position us to achieve even more going forward. Starting with our 2024 performance. As we guided during our half year results, SMS continued to deliver for our customers and second half sales came in 10% higher than the first half. In fact, second half sales were 12% higher than the same period in 2023. The SMS in-year margin was strong at 11.7%, reflecting good underlying program performance and putting us ahead of our acquisition case. Cash was also well aligned with our expectations and SMS backlog rose to $3.7 billion, up 25% over year-end 2023. With the transition year behind us, this strong backlog provides excellent visibility into our future sales growth. Overall, integration is proceeding very well. The bulk of our core business systems, including compensation, benefits, finance and IT operations transitioned as planned in September of last year. As expected, supply chain integration has been a key driver of cost synergies, along with numerous efficiencies achieved through our combined systems and operations. The collaborative work of the 2 businesses, supply chain teams has ensured a smooth transition of services, suppliers and customers. The resulting synergies driven by increased spend volume and efficiency gains has confirmed our assumptions, and I'm really pleased with the progress in this area. As a result, we remain well on track to achieve our near-term objective of $30 million per year. In addition to cost synergies, we are also excited about opportunities to grow our top line over time. Since we announced the acquisition of Ball Aerospace, the teams have been working to bring our collective strengths to bear to address our customers' highest priorities in the most efficient and affordable manner possible. Our top line revenue work streams have focused on opportunities in space, electronic warfare, C&I and support services. We're finding interesting way to combine existing electronic systems, technologies and payloads, with SMS Mission Systems to position us for roles neither business would have pursued alone. The recently announced U.S. Iron Dome initiative will likely yield such opportunities, as it will leverage space-based and precision technologies core to our sector strengths. Our positions on programs like FAD and our technology offerings in advanced communications, sensors and space-qualified electronics place us well for promising opportunities such as this. We just marked our first year of operations with Space & Mission Systems. As I reflect on our performance, I am extremely proud of how well the teams have worked to become one seamless and efficient organization and to create a foundation for sustained growth. Over to you, Brad.
Bradley Greve: Thanks, Tom. Before I get into the results and outlook, I'd like to thank our teams across the company who produced the strong numbers I'm about to present. The results reflect a familiar picture of a business that continues to grow by adding value for our customers and delivering strong returns for our shareholders. Our backlog is the driver for continued growth and strong visibility. And as you can see, this closed at a record GBP 78 billion on the back of another strong year of order intake. Our sales rose by 14%, taking our 3-year compound annual growth to 10% over that period. Underlying EBIT grew by 14%, exceeding the GBP 3 billion mark for the first time. Over the last 3 years, EBIT has grown more than 10% annually. We delivered GBP 2.5 billion of free cash flow in 2024 on the back of strong operating cash conversion and customer advances received late in the year. This number is net of GBP 1 billion of CapEx as we continue to invest in our business to support the growth embedded in our order backlog and pipeline. We returned GBP 1.5 billion to shareholders with a proposed 10% increase in the dividend, along with continued share repurchases. All of this means we ended the year with records for order backlog, sales, underlying EBIT, EPS and dividend, and we are well positioned for this operating and financial rhythm to carry on into 2025 and across the medium term. In the slides that follow, I will take you through some more of the details on the key metrics before moving to guidance and capital allocation. Order intake for the year was GBP 34 billion, expanding our backlog by 11% to a record GBP 78 billion, including the GBP 3 billion from SMS. Notable contract awards were booked for our space business, CV90s, Air Defense for Eastern Europe with MBDA, Typhoons for Italy and Spain and the 3-ship order for Australia's Hunter class program. Sales of GBP 28.3 billion increased by 14%, including the results of SMS. Excluding the impact of all M&A in the year, the organic growth rate was 9%. Our Electronic Systems sector, including SMS, increased by 35% to GBP 7.2 billion with an organic growth rate of 9%. As Tom mentioned earlier, SMS achieved double-digit growth in the second half of the year and is positioned for double-digit growth in 2025. ES also had strong growth in precision strike & sensing, which was at 33%. Platforms & Services sales grew by 15% to GBP 4.4 billion, with our U.S. combat vehicle business up 18%. Hägglunds grew by 45% on European volumes and Bofors grew at a similar pace, led by Archer sales. Overall, P&S delivered over 600 vehicles in 2024 compared with just over 500 in 2023. The Air sector rose by 7% to GBP 8.5 billion. Activity increased in MBDA and KSA, while the GCAP program continued to ramp up. The sector also posted growth in FalconWorks, where we are rapidly expanding our portfolio of drone capabilities. Maritime sales grew 12% to GBP 6.2 billion. Australia sales led the way on Hunter ramp-up, while the Type 26 and the subs portfolio in the U.K. continued to add to sector growth along with munitions. The design work on the SSN-AUKUS submarine made a material contribution to sector growth, more than doubling over last year with another doubling expected over the next 2 years. Finally, Cyber & Intelligence sales grew by 6% to reach GBP 2.4 billion. I&S in the U.S. was up by 7%, primarily on work for the U.S. Air Force. The Digital Intelligence business in the U.K. was up by 4%, largely on the growth in counter-drone sales from the newly acquired Kirintec business, along with modest growth in National Security Cyber. EBIT of GBP 3.015 billion was up 14.4% and the return on sales of 10.6% was up by 5 basis points. Strong operational delivery and accretive benefits for recent acquisitions more than offset the mix effects from continued high growth in the maritime sector. There was a 20 basis points impact from higher R&D investment, primarily in attractive margin accretive technology opportunities in Electronic Systems. The ES sector delivered 14.9% ROS, including the SMS business, which delivered a group accretive margin of 11.7%. P&S expanded margin by 110 basis points to reach 10.2%, supported by full rate production volumes for AMPV as well as growth from Hägglunds and Bofors and improved operational delivery and ship repair. The Air sector maintained a strong 11.8% ROS as EBIT exceeded the GBP 1 billion threshold for the first time on higher sales volume. Maritime profit was up 12%, in line with sales. And finally, Cyber & Intelligence margins of 8.3% were in line with guidance. The group delivered GBP 3.1 billion of operating cash flow, significantly above our expectations with higher-than-anticipated customer advances received late in the year. We continue to allocate capital to protect and grow the business with over GBP 1 billion in capital expenditures to drive growth, improve efficient delivery and continue to modernize our footprint. Net debt ended the year at under GBP 5 billion. The business generated GBP 2.5 billion of free cash flow, and we returned GBP 1.5 billion in dividends and buybacks. The outflows for acquisitions of GBP 4.6 billion include the SMS transaction, Malloy, Callen-Lenz and Kirintec, net of divestments. After successfully financing these acquisitions, net debt-to-EBITDA finished at a healthy 1.3, excluding leases and 1.8, including leases. Turning next to guidance. Building on the group's continued strong growth over recent years, we once again expect to see high single-digit growth on the top line at 7% to 9% and continued margin expansion. EPS is expected to grow in line with EBIT at 8% to 10%, with a higher tax rate offset by share repurchases. Bearing in mind the acceleration of customer advances in late 2024, free cash flow should exceed GBP 1.1 billion. As a reminder, our cash guidance provides a baseline, which excludes material customer advances. With this guidance, the average annual cash flow over '24 and '25 is more than GBP 1.8 billion per year, which outpaces our previous guidance. While we do not give medium-term guidance on sales and EBIT, the backlog and pipeline that Charles outlined earlier provides strong visibility for growth and positions us well to carry on this financial rhythm into the future. The strong cash delivery over the years is demonstrated here with the 2024 outturn of GBP 2.5 billion, taking the 3-year total to over GBP 7 billion for the '22 to '24 period. The significant upside versus guidance comes from the receipt of material customer advances. And as mentioned previously, we continue to exclude material advances from our cash guidance. We are upgrading the in-flight cash guide for the 3-year period ending in 2025 with our new target to exceed GBP 6 billion. I'm confident that we should be generating between GBP 5 million and GBP 6 billion in subsequent 3-year period, with the variability coming from customer advances. Our 10% sales compound annual growth rate over the last 3 years, together with the growth implied in our backlog and pipeline, demonstrates that we are a growth company. Our increasing cash delivery fully supports our approach to capital allocation, which over these last several years has been very consistent. We prioritize investing in our people, our delivery infrastructure and in promising technologies. We pay a dividend, which is covered around 2x by earnings and has grown significantly over the years. We are dynamic with our portfolio by acquiring high-quality assets, while divesting noncore activities and we continue to use our buyback program to deploy surplus cash. We do all of this with a balance sheet that is managed within the parameters of an investment-grade credit rating, providing us with the flexibility to execute our strategy. Before finishing, I would just like to spend a few moments highlighting our capital allocation and action over the past few years as an example of what we expect to continue delivering. We will continue to prioritize investment in our talent, as demonstrated by the growth in our skills academies and our early careers programs. Our sales per head has improved significantly over the last 5 years as our investments have contributed to more efficient workflows and modernized skill sets with more to come. Over this 5-year period, we have invested over GBP 2.9 billion in CapEx, modernizing facilities, improving our efficiency and building capacity for growth. Examples of these include capacity expansion for Hägglunds, robotic welding in multiple sites, a new ship lift complex in Jacksonville and the construction of a large-scale shipbuilding facility in Glasgow. These investments are giving us a more efficient infrastructure and a strong platform for growth. Meanwhile, our self-funded R&D has increased over the last 5 years, and we are successfully converting these investments into sales. I would point out programs such as APKWS and ES and the Tempest program in our Air sector. Other examples include small form factor technology in the ES; TAGVIEW, our AI route planning software; ILAS, our AI-driven intelligence tool; and our single synthetic training platform called OdySSEy. These self-funded R&D programs have contributed multiple billions in sales since their launch. In terms of returns to shareholders, our track record on dividends is well established. After taking strong actions to derisk the pension in 2020, which is now in surplus, we complemented our dividend policy with share buybacks, reducing our share count by over 8% since program launch in 2021. Finally, since 2020, we have taken a more dynamic approach to our portfolio, adding high-quality assets, starting with the GPS business and building up to the SMS acquisition last year. Through this acquisition program, we have sought to build capabilities, strengthen differentiation and increase our growth prospects in margin accretive areas, making a substantially positive impact to top line growth and profitability. In fact, since 2020, our acquisitions have added over GBP 3.3 billion to group sales over that time and strengthened our position in promising growth areas like space, AI and precision strike & sensing, all of which tightens our alignment to the National Defense Strategies of our customers. In summary, our approach to capital allocation in recent years has had a strong value compounding impact on our financial returns. Looking forward, our record backlog and pipeline amounting to over 9x current sales means that our business will continue to grow, and we have created more opportunity to continue compounding value into the future. Over to you, Charles.
Charles Woodburn: Thanks, Brad. I'll conclude by reemphasizing that the breadth of our portfolio, together with our global geographic footprint have become competitive differentiators for us. This means that we aren't reliant on any single market or program to drive our sales growth. And as I mentioned earlier, the majority of our key markets are expected to increase their defense budgets in the years ahead. We've taken action to shape our portfolio to support our customers in these markets, ensuring we're tightly aligned with their National Defense Strategies. We offer technology-focused products and services across all domains, air, land, sea, space and cyber and in critical defense technology capabilities such as space, electronic warfare, AI and quantum devices. In closing, I believe we're incredibly well positioned to continue driving the positive momentum of the business into the future. Our order backlog, incumbent positions and strong new business opportunity pipeline give us the visibility and confidence that we can deliver increased sales, higher margins and strong cash performance, all amplified by our disciplined capital allocation model. Thank you. And with that, we're ready for questions.
Unknown Executive: While you're getting ready for questions, I just wanted to touch on the dynamic events and news headlines from the last few days and likely more that will come in the following weeks. While there is a great deal of discussion right now, these paradigm shifts in European security could drive significantly increased defense spending over the medium term. And as Europe's largest defense company, we are well placed to support our government customers as they confront these challenges. And with that, we'll now hand over to questions again.
Operator: [Operator Instructions] We are now going to proceed with our first question. And the questions come from the line of Ross Law from Morgan Stanley.
Ross Law: So the first one is sort of a kind of a high-level question. Just to give us an idea of the proportion of group sales, you would classify as short cycle, so ammunition, land vehicles, drones, et cetera. And the second question on SMS. Margin was pretty strong at 11.7%, not far off your 12% plus guidance medium term. Is there any one-offs or anything to call out in that performance in '24? And what should we be thinking for margin in '25?
Charles Woodburn: Thanks, Ross. Brad, do you want to do the short cycle? And then over to you, Tom, for SMS.
Bradley Greve: Short cycle really for us is probably just munitions. I wouldn't really put land vehicles in short cycle as these are longer-term build programs, typically. So I think it's probably 5% is really short cycle. We are predominantly a long-cycle business. And I think that's what gives us really a much higher quality duration of our growth cycle that we're in and visibility on that. So I think if you consider MBDA as short cycle, which I really don't, that's probably another 5%. So in total, if you combine those 2, it's about 10%. But I really think the true short cycle is closer to 5%.
Charles Woodburn: Tom?
Tom Arseneault: Ross, it's Tom. Just a comment on SMS margins. I mean as you point out, very strong 11.7% this year. You'll recall, as we announced the acquisition, we were on our way expecting in the near to medium term to get the 12% ROS. I mean off to an early start there, no one-offs per se. I'd say, underlying solid program performance buoyed a bit by some of the early synergies we're finding in terms of buying power across the enterprise as the new Space & Mission Systems business takes advantage of the greater group aggregate demand and the pricing that comes with that. And so we expect to be in that range and continue on our path to 12%. Thanks for the question.
Ross Law: Can I just quickly follow up just on the product exposure. Can you just remind us what your exposure is to drones and the potential outlook there?
Charles Woodburn: We have actually quite significant exposure to drones. We don't actually break it out in pure numbers, but it ends up -- when you add up the drone and counter-drone capabilities, it's certainly in the hundreds of millions of pounds a year and that's been obviously bolstered by the acquisitions that we did this year of Malloy, Callen-Lenz and Kirintec in the counter-drone space. So this is obviously an area of modern warfare that we've all learned an awful lot from -- continue to learn a lot from the ongoing war in Ukraine. And we positioned, I think, ourselves well in terms of this evolving area of modern warfare.
Operator: We are now going to proceed with our next question. And the questions come from the line of Robert Stallard from Vertical Research.
Robert Stallard: Maybe just a follow-up on Ross' question and your final comments there, Charles. What do you think is BAE's ability, if required, to surge production of products if we see that increase in U.K. and European defense demand? And then secondly, one for Tom. Obviously, there've been a lot of commentary about DOGE and what they could be up to with regard to the Pentagon and maybe more fixed price contracts or suggesting cuts, what have you seen so far? And what do you see as the potential risk to BAE's portfolio?
Charles Woodburn: Yes. So on surge, I mean, when you look at our top line growth in recent years, our ability to scale and surge, I think, is demonstrated by the growth that we've been executing and could continue to execute. I mean what we need and continue to need from our customers is a clear demand signal that stretches out over multiple years. But with that, I'm confident that we're able to meet the demands that we see ahead of us. We've got some -- I think some of the best in the world in terms of early careers pipelines in terms of apprentices and graduates. We tend to be massive oversubscribed. So we have no trouble attracting the right talent, and we have some brilliant training programs for them. Whilst there will always be bottlenecks in the supply chain, we're quite adept at managing through those, and I think our track record demonstrates that. So I'm actually confident that we can manage the surge if given a clear demand signal. Maybe over to you, Tom, to say a couple of words on DOGE.
Tom Arseneault: All right. Thank you, Charles. Yes, I think as you'd expect, I mean we -- in industry at large, all embrace the idea of efficiency in government. And certainly, the DoD would fall into that category. We have a number of ideas ourselves and working with industry associations in order to point to some of the regulatory environment that in the past has added cost without reducing much in the way of risk. And so we embrace that overall thought and look forward to that becoming more central to the DOGE's activities in the future. In the near term, to your point, their focus tends to be -- has tended to be on workforce, federal workforce, as I'm sure you've all read a little less on programs, although we expect that, that sort of dialogue will start playing out here in the coming months as they engage further with the DoD. You've heard of the Iron Dome initiative, and there's an expectation that there will be some move to translate some of the budget -- some of the existing budget in FY '26 as it's expected into some of those administration priorities. We remain and will be aligned well from a technology standpoint with that. And fixed-price contracts you mentioned. I mean we have a track record of performing well on fixed-price contracts. We are prudent in the way we bid those. We have been focusing on efficiency in our own right, and we would expect to deploy the same approach. I hope that's helpful.
Operator: We are now going to proceed with our next question. The question comes from the line of Olivier Brochet from Redburn Atlantic.
Olivier Brochet: I would have 2, if I may. The first one would be on air defense following the -- following up on the question that Ross asked about drones. Would you have a -- would it be possible to get a sense of how much revenues you are doing in air defense, in general? It's a critical topic for everyone in Europe in particular. And the second question is on ES margin. Could you give us some idea of the moving parts for 2025, please, compared to 2024 FAS/CAS, R&D synergies and so on?
Charles Woodburn: Yes, Olivier. So on air defense, I don't have an exact number for you because quite a lot of our products, I mean, one of the things that we have learned is how to sort of quickly adapt existing capabilities for the new sphere of particularly counter-drone. But it definitely runs into the hundreds of millions range when you consider things like APKWS in a counter-drone perspective, some of the electronic warfare capabilities. We are very well positioned and have been developing rapidly some capabilities, which have proven themselves to be very effective in theater. On margins, maybe, Brad, do you want to take that one?
Bradley Greve: Yes. Thanks, Charles. Electronic Systems margins, Olivier, I think we've gotten past the largest part of the FAS/CAS hit in 2024. So that's really pretty much behind us for Electronic Systems. And as we look forward to 2025, the growth rate there is, again, pretty high at 8% to 10%, but that includes, of course, SMS in that number. And when you think about the mix of Electronic Systems, SMS, while it's accretive to group margins, and Tom mentioned the 11.7%, which we're really pleased to see outturn for SMS, it has a mix effect on overall Electronic Systems sector margins. And that business is growing faster than most parts of the U.S. portfolio, excluding SMS. So overall, what I expect to see is another year of circa 15% return on sales for Electronic Systems, which is a good result considering the mix that comes from a higher dimension of SMS sales in that. So we're really pleased with the trajectory there, both on the top line and what we're doing with margins there. And I would also mention that we have been increasing our self-funded R&D investments in ES. And this has been a part of a larger strategy where both inorganically and self-funded R&D organically, we've been really doubling down where we have the most competitive strength, which is our ES sector. And that is something that we continue to want to protect for the long term and increasing our investments in self-funded R&D is one way to do that. And so that, of course, is something that also reads across into margins. We've been investing at a 20 basis point impact in 2024 at group level compared to '23 on higher R&D. And that's just the testament to the opportunities that we see in ES.
Olivier Brochet: Big deterioration.
Bradley Greve: Sorry, will you say that again?
Olivier Brochet: Big deterioration.
Bradley Greve: No, no, it's not at all. It's in line with what we outturned for 2024.
Operator: We are now going to proceed with our next question. And the questions come from the line of Ian Douglas-Pennant from UBS.
Ian Douglas-Pennant: It's Ian Douglas-Pennant at UBS. I wanted to, I guess, go over some of the questions or just more detail on some of the questions we've had already. First on DOGE. Thank you for the comments already. Have you started to have conversations with DOGE either directly with them or having feedback passed on through DoD and customer in terms of how their priorities might shift or how their ways of working might shift? Or are we still at the point where we're trying to work out through other sources where the priorities might shift and how -- where they might work might shift? Secondly, on margins. Given that P&S U.S. and ES are the fastest growth divisions with the highest margins, I'm surprised just not to see you guiding for more than 100 basis points faster growth in EBIT versus revenues. Further to the comments just now to Olivier's question about ES margins being flat, are there any other kind of offsets to group margins that we should be thinking about? I mean P&S U.S., is there further -- are margins going to stay flat there? Or are there some headwinds? I mean maybe you could help us think through any other dynamics.
Charles Woodburn: Maybe, Tom. And Brad, on margins.
Tom Arseneault: Yes. Ian, Thank you. I mean, I think as far as I know, DOGE has yet to engage directly with the industry. I think industry in some parts have worked to engage directly with DOGE. But thus far, there has not been a back and forth. I mean we are and have been watching very closely the areas that they're focusing on. As I mentioned earlier, it tends to be around federal workforce, looking for efficiencies and underlying budgets with respect to office workers, et cetera. We are working with industry associations across the industry in order to catalog the variety of ideas that we all have where there are opportunities for efficiency. And we suspect in due course, they will engage along those lines. So we're just staying ready for that time.
Charles Woodburn: Brad, back to you for margins.
Bradley Greve: Here I'm again. So look, we're going to be -- if you look at our guidance, it's another high single-digit to low double-digit year that we're guiding for EBIT growth. So it's higher than our sales growth. So we, again, expect to see continued margin expansion. And one thing, obviously, to note in 2024's number is the high level of maritime growth that we had, which is a mix effect is something that obviously you've figured how that reads across. And we do expect to see another pretty high growth in Maritime in 2025 as we build up those programs across the portfolio there. But overall, as a group, we are expected to have high single-digit to low double-digit absolute growth in EBIT, which is another really strong year of profitable growth for us.
Operator: We are now going to proceed with our next question. And the questions come from the line of Ben Heelan from Bank of America.
Benjamin Heelan: Yes. The first question, Charles, is back to the comments you made on the EU and the potential surge there. I think in the past, you've always said with regards to M&A, the focus for you is in the U.S., that's where the returns historically have been highest. Now when you look at what's happening in the EU and some of the comments that we've seen over the last week, do you see any changes in terms of how you're thinking about deploying capital from an M&A perspective? And then I guess kind of separate, but so tied to that, back to this point on drones. Obviously, there's been significant debate now around manned and within the unmanned component, the kind of asymmetry of warfare that you've seen in places like Ukraine. And do you need a different sort of capability? So can you talk a little bit about the actual drone capabilities that you have that you're building? And also, I saw some comments that you made about potentially looking to work with Airbus on the unmanned component with GCAP. I assume it's pretty early stage, but is there any more color that you can give us around that? What are you kind of hoping to achieve in those discussions, that would be amazing.
Charles Woodburn: Thank you, Ben. So with respect to M&A opportunities, as you said, we've historically looked at the U.S. and adding to the Electronic Systems portfolio, which has been a very effective strategy for us. And we'll continue to look in that area. However, as you alluded to, the EU and the potential growth in EU budgets mean that there may be some interesting opportunities for us. We already have, and I think often underappreciated is the scale of our European business. So we have the 2 great businesses in Sweden, both Hägglunds and Bofors, our position on Eurofighter and our shareholding in MBDA. So whether the M&A is adding to those capabilities in the Nordics, for example, or MBDA growing its footprint into various areas or whether we do it directly are things that we will think about. But I do believe that opportunities will -- the opportunity set will certainly change across Europe as defense spending increases to meet the challenges. On drones, it is, as you alluded to, it's quite a rapidly evolving area. We saw quite quickly the evolution of warfare that was happening in Ukraine and moved quite swiftly on a number of acquisition opportunities here in the U.K. that were directly or indirectly supporting some of those efforts. And it certainly means that we are now in a position where we're one of Europe's largest military drone manufacturers. I mean, actually, in terms of pure quantities, the largest number of drones are being built in Ukraine itself. But outside of Ukraine, we are one of the Europe's largest. And I think we have a very strong portfolio. And then within the work that we're doing in FalconWorks in our Air business here in the U.K., there is a whole range of drone capabilities right from the very small sort of FPV style drones right up to the Malloy capabilities, the load carrying drones, which are being weaponized for various applications. And so we're looking at that range of capabilities. And I think most militaries are looking at that force mix -- evolving force mix between manned and unmanned capabilities. And one of the areas that's moving fastest is obviously in the Air domain. And I think we're very well positioned within that. And what's really important is having a proper understanding of drones mean that you can then develop at the same time, counter-drone capabilities. And again, we've been very successful at doing that. The sort of dominance of the electromagnetic spectrum and the importance of electronic warfare is literally underlined on a day-to-day basis by what we see in Ukraine, and we are world leaders in that. I mean parts of Tom's business, the Kirintec acquisition that we made last year, all position us -- I mean that we're very well positioned in that particular space. So I feel very -- I'm very pleased with the strength of our portfolio as we look at this evolving elements of warfare.
Benjamin Heelan: That's great. Just a quick follow-up as well on the EU point. Obviously, things have like materially changed in the last couple of weeks. And you talked about in your remarks about the need for those demand signals from governments for you to be able to go out and expand your capacity and you're confident that you can meet that. Have you been having those discussions with governments over the last couple of weeks about what you can do with regards to capacity, with regards to production once you receive those demand signals and having a discussion about what those demand signals could be in duration and framework contracts, et cetera? Are those discussions happening? Or is it still a bit too early to be seeing that?
Charles Woodburn: Well, I think, Ben, at the high level, they're happening. And the importance of having a clear demand signal to build to is well understood. And we'd be remiss if we were not making those points very clear to our government customers, both here in the U.K., but in all of the places where we operate.
Operator: We are now going to proceed with our next question. And the questions come from the line of Chloe Lemarie from Jefferies.
Chloe Lemarie: I have another follow-up on the U.S. defense budget, if I may. So on DoD, I wanted to see if you identified any potential risk on the civil activities of SMS maybe? And then overall, should we still assume slight growth in the U.S. budget baked into your guide given there might be some potential overhang on supplemental if support to Ukraine was lowered going forward? And the second question I had was on P&S margins. So at the beginning of last year, you guided for P&S margin to expand to 10% to 11%. So do you still see a potential to reach 11% in the division? Could it be in '25 or beyond?
Charles Woodburn: Right. Maybe Tom has some on civil and budget outlook, and either of you can do P&S margin evolution.
Tom Arseneault: All right. Thank you, Chloe. So again, we're working very carefully to track the DOGE's areas of focus and priorities. You mentioned the civil dimension of our SMS business. I mean much of the work that we do there is focused on effectively public safety with the weather and hurricane tracking kinds of capabilities there, supporting agriculture and fisheries, et cetera. And so much of that is, we think, fundamental to the economy and we stand well positioned. The technology that we have there is unparalleled. It's given the position and the backlog that SMS enjoys today. We are continuing to execute on those programs. With respect to the DoD budget, we do anticipate a slight amount of growth, although all eyes will be on the President's budget request that will come out here in the spring in next few months. We'll get a sense of the trajectory of that budget. As you read across the variety of Congress' views, it feels like a net effect of additional upward pressure on the budget, just given the state of the world and so we're watching that. I mean we are -- we have not and will not include the expectation around any further supplementals in our guidance. And so any of that, if there were to be supplementals that those -- that would be upside. And then on P&S margin, Brad, I mean we -- the steady march toward double-digit margins that we have been projecting over the last handful of years has been made manifest this past year. We do expect that trend to continue. Don't forget, the P&S sector includes our Hägglunds business over in Europe. That business has grown, as Brad pointed out, some 45% and the demand signals continue there and they relate to EU budgets at large. And so I think we stand -- we're well positioned to continue the growth trajectory there as well as the margin expansion journey. Anything you want to add?
Bradley Greve: Yes. I mean if you look at -- to Tom's point, the journey that P&S has been on sort of circa 8% now hitting double-digit margins in 2024. And we're guiding to 10% to 11% in '25. We firmly believe that we're going to get -- sorry, we're going to get past 11% in 2025. So we really continue to see P&S margins expand. And we're getting operational improvements across the P&S portfolio. We've seen that in ship repair, and we've seen that with the mix of combat vehicles. Tom talked about the accretive nature of the Hägglunds growth, that's helpful for P&S margins. And then AMPV going to flow rate production has been a big part of the margin expansion story. And those volumes will continue to grow too. So I think P&S is really well positioned for continued margin expansion, and we're really pleased to see that.
Operator: We are now going to proceed with our next question. And the question comes from the line of David Perry from JPMorgan.
David Perry: Yes. I have 2 questions, please. One specific one, a bit more broad. Just going back to MBDA, it feels like the sort of business that should be just having very, very dramatic growth. And I know missiles are complex and there's lead times, but just based on the disclosure you give us a pie chart with the sales split, it looked like the growth was 6% in 2024. I think it was 8% in '23. I mean is there a point where this business just sees explosive growth like we've seen in some of the ammunition businesses? And I'd be interested when you sit down because you're on the Board, when the 3 partners sit down, what kind of commitments and investments you're willing to make for that business? The second one, a bit more broad is, I think we've had a lot of questions on the call -- on this call in the U.S. and Europe. I mean haven't had too much about Asia or the Middle East. Are there any sort of milestones that -- for some of the big contracts you're looking at in those regions that we should be keeping an eye on this year?
Charles Woodburn: David, so on MBDA, I mean, it's a phenomenal business with a phenomenal backlog and a phenomenal outlook. I think what's often misunderstood, and I'm not putting you in this category at all, David, but what is often misunderstood is the complexity of what they make. I mean these are like small fighter jets in terms of the electronics, the capability, the flight control systems. So the ramp compared to artillery shells, for example, is, by its nature, going to take longer, but last longer at the same time. I think that's what we're seeing with MBDA. Now they've had a profound growth in order backlog. They've got a really strong product set. They are present across pretty much, I'd say, all or most of the European platforms in air, land and on the sea. And therefore, they are very well positioned for the growth that we see coming. But that -- scaling that growth compared to some other parts of our business does come with some challenges. And as you said, we sit on the Board. In fact, Simon, who runs our Air businesses is Chair of MBDA. And we are always encouraging MBDA to invest, to make sure they have the capital that they need to invest within the business. And I think they have a lot of growth that we're not giving too much guidance here, but they have a lot of growth built in for the years to come, but it is around the complexity of their product portfolio. In terms of Asia and the Middle East, as you said, there's been a lot of talk on this call and in the questions around Europe and the U.S., but we're very well positioned. I mean GCAP with Japan, with Japan doubling its defense spending, meaning that I think that we're well positioned in Japan to support their needs in the years to come. And of course, Australia a very important business for us. We've touched on the call, things like AUKUS, SSN-AUKUS and our commitments there, but also with the scaling up of the Hunter Class Frigate Program mean that these are really important markets for us and will become even more important in the years to come. And I think what it does do is point to the breadth and depth of our portfolio. I mean we are unusual in the fact that our portfolio is so diverse between U.S., Europe and the Asia Pacific environment, which means that we're not dependent on any one single market for our overall growth trajectory and indeed across the portfolios that we serve. I mean I know this is well appreciated by you, David, but it is important to remember that the scale of this business mean that we're well protected from any one particular program or market.
David Perry: Very clear. And are there any specific deadlines for GCAP? I know you announced late last year a kind of holding company agreement. But what about kind of industrial work share and sort of where we start to see a meaningful ramp in that program? Are there any sort of dates that you're working towards?
Charles Woodburn: Well, certainly over the next couple of years, the development contract comes into fruition and we start going to full-scale development over the next couple of years. And through the end of the decade, you will see a steady ramp in activities associated with GCAP.
Operator: We are now going to proceed with our next question. And the questions come from the line of George Mcwhirter from Berenberg.
George Mcwhirter: Two, please, if I may. Firstly, following on from David's question on MBDA. It appears that the Air division had a very strong cash conversion this year. It's done above 100% for the last 3 years. Just would be interested to know to what extent is this driven by MBDA orders as it appears that the book-to-bill in MBDA was around about 2x. So any color you can give on that would be helpful. And the second one is just on the U.S. Combat Mission Systems business. So it looks like the growth here was quite strong as well at about 17% last year. To what extent is this driven by the U.S. supplemental aid package to Ukraine? And what level of visibility do you have on the vehicle volumes this year?
Charles Woodburn: Brad, do you want to take the MBDA question?
Bradley Greve: Yes. So the -- as you know, the overall cash profile of the group typically features advances that come in and advances that burn out. So that's just -- that's part of who we are as a group. On the Air sector, that's where we get a lot of those advances moving in and out of the business. And yes, I think the high cash conversion over the last several years for Air has featured a lot of inflow of advances and MBDA has certainly been part of that. So I think it's right to assume that in that cash flow number for Air, it included some advanced activity in that. And so I hope that's clear. We do see a pretty strong backlog, as Charles mentioned, on MBDA. And we expect to see that business continue to grow as that backlog gets delivered. And some of the MBA revenue models on delivery sales recognition. So if you think about some of the weapons packages they have for some of the Air platforms, those revenues can't get recognized until those platforms are delivered. So that can lead to a pretty long time between an order being booked for MBDA and an actual revenue being recognized. So again, that's why we -- I don't like to think of MBDA as a short-cycle business because it can take quite a few years before it could go from order to sales. But I think we would look at the overall MBDA backlog as a whole at EUR 37 billion being a record for MBDA. And so we certainly think that's going to be a growth engine for the Air sector for years to come.
Charles Woodburn: On CMS?
Tom Arseneault: Sure. With respect to the combat vehicle growth, George, what we've seen -- I mean, again, I'll point out the fact that the P&S sector has combat vehicle -- the U.S. Combat Vehicle business in addition to Hägglunds. Brad made the point that altogether, P&S produced some 600 vehicles here in 2024. Roughly half of those were out of the U.S. Combat Mission Systems business. And while earlier year supplementals have built the backlog that is now playing out through the factories in the U.S., that backlog will take several years in order to deliver. And so we actually do see an increase -- we'll see an increase in the number of vehicles coming out of the U.S. Combat Mission Systems business here in 2025 without the need for any additional supplementals. Again, those are not just for the Army, we also have the Marine Corps Amphibious Combat Vehicle program, which rolls up into the Navy's budget. And so those programs are performing well. That drove the growth of that business last year, and we expect to see yet additional number of vehicles coming out of CMS in 2025. I hope that's helpful.
Charles Woodburn: I think we have pretty much timing. We got none, okay.
Operator: This concludes our question-and-answer session. I will now hand back to you for any closing remarks.
Charles Woodburn: Thank you very much, everybody. We'll be catching up with many of you on the roadshow and look forward to seeing you. Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.